Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the American Public Education First Quarter 2018 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. At this time, I would like to turn the conference over to Mr. Chris Symanoskie, Vice President of Investor Relations. Please go ahead, sir.
Chris Symanoskie: Thank you, Operator. Good evening and welcome to American Public Education's discussion of financial and operating results for the first quarter of 2018. Presentation materials for today's conference call are available via the Webcasts section of our website and are included as an exhibit to our current report on Form 8-K, furnished with the SEC earlier today. Please note that statements made in this conference call and in the accompanying presentation materials regarding American Public Education or its subsidiaries that are not historical facts may be forward-looking statements based on current expectations, assumptions, estimates and projections about American Public Education and the industry. These forward-looking statements are subject to risks and uncertainties that could cause actual future events or results to differ materially from such statements. Forward-looking statements can be identified by words such as, anticipate, believe, seek, could, estimate, expect, intend, may, should, will, and would. These forward-looking statements include, without limitation, statements regarding expected growth, amount in nature of anticipated charges, expected registrations and enrollments, expected revenues, expected earnings, and plans with respect to recent, current and future initiatives, investments and partnerships. Actual results could differ materially from those expressed or implied by these forward-looking statements as a result of various factors, including the risk factors described in the Risk Factors section and elsewhere in the Company's most recent Annual Report on Form 10-K and subsequent Quarterly Report on Form 10-Q, filed with the SEC and the Company's other SEC filings. The Company undertakes no obligation to update publicly any forward-looking statements for any reason, unless required by law, even if new information becomes available or other events occur in the future. This evening, it's my pleasure to introduce Dr. Wallace Boston, our President and CEO, and Rick Sunderland, our Executive Vice President and Chief Financial Officer. Now, I'll turn the call over to Dr. Boston.
Wallace Boston: Thanks Chris. Starting off with Slide 2 recent results and highlights. I’ll begin our call today by discussing our recent operating results and reviewing the progress we've made with respect to our strategic goals. Our CFO Rick Sunderland will then report on our first quarter financial results and provide additional perspective on the company's outlook for the second quarter of 2018. In the first quarter of 2018, net course registrations by new students at APUS declined 11% and total net course registrations declined 4% compared to the prior year period. However net course registrations by returning students only declined by 3% year-over-year. We believe that the difference in the rate of decline of registrations by new students and that of returning students, relates at least in part to continued improvements in student persistence and our quality mix of students. The continued increase in student persistence suggests that the course and retention initiatives we have launched over the last few years appear to be improving student success in the overall quality of our offerings. The overall decline in net course registrations by new students at APUS was largely driven by 24% year-over-year decline in net course registrations by new students utilizing federal student aid, as well as by a 13% year-over-year decline in new students utilizing cash and other sources and 9% year-over-year decline in net course registrations by new students utilizing military tuition assistance or TA. The decline in overall net course registrations by new students at APUS was partially offset by an 8% year-over-year increase in new students utilizing Veterans Benefits. We believe that net course registrations by students using VA were adversely impacted by the short-lived government shutdown in particular for net course registrations during the month of March. I'm pleased that we are currently experiencing a strengthening of net course registrations by students utilizing TA in the second quarter of 2018 although enrollment for this period is still ongoing. I'm also pleased by the start of our second cohort of doctoral students who began their studies in Strategic Intelligence and Global Security this past weekend. This start follows on the heels of the recent announcement at APUS was recognized by the National Security Agency, NSA, and the Department of Homeland Security, DHS, as a National Center Of Academic Excellence in Cyber Defense Education. With this designation, APUS joins a lead group of regionally accredited institutions that have also received the distinction. We believe third-party recognition especially specialty accreditations and our new doctoral programs further enhance the academic reputation of APUS. We are working diligently to improve the student onboarding process at APUS including by implementing processes that foster even greater customer engagement and by expanding student service hours and our outreach to prospective students we plan to broaden our message of affordability among prospective students and targeted geographies and through an increased number of digital channels. For the three months ended March 31, 2018 or winter term 2018, total enrollment at Hondros School of Nursing or HCN increased approximately 11% year-over-year driven by a 19% year-over-year increase in new student enrollment. Although the status of HCN is creditor, the Accrediting Council of Independent Colleges and Schools is a recognized accrediting agency was recently restored by the Department of Education. HCN continues to seek additional accreditation and has an in process application for accreditation by The Accrediting Bureau of Health Education Schools or ABHES, a national accrediting agency that is also recognized by the Department of Education. ABHES indicated that it will take action on HCN's application at its late May 2018 meeting. We remain excited about HCN's long-term prospects, as well as the opportunity for nursing and healthcare education more broadly as we believe nursing schools turn away thousands of qualified applicants each year from undergraduate nursing programs. Over the last decade, nursing schools have annually rejected around 30,000 applicants who met admissions requirements according to the American Association of Colleges of Nursing. This supports our decision to keep access to nursing and healthcare education as a focus of our long-term strategic plan. APEI’s second quarter outlook reflects our belief that overall net course registrations at APUS may be approximately flat year-over-year. In future quarters, APUS expects continued volatility in net course registrations. However, the second quarter outlook for net course registrations combined with the benefits of improved completion rates at APUS and revenue growth at HCN are expected to result in a year-over-year increase in APEI’s consolidated revenue compared to the second quarter of 2017. In summary, we plan to maintain our focus on enrollment stabilization and student persistence at APUS while building on HCN's recent successes. We anticipate launching several new degree programs at APUS in 2018 and we plan to open a new HCN campus in late 2019 subject to regulatory approvals. At the same time we intend to increase our emphasis, our workforce development and competency based learning, as well as expand our strategic relationships to strengthen our long-term competitive position and fulfill our institutional mission. At this time, I will turn the call over to our CFO, Rick Sunderland. Rick?
Richard Sunderland: Thank you, Wally. American Public Education's first quarter 2018 consolidated financial results include a 1% decline in revenue to $75.0 million compared to $75.7 million in the prior year period. The decrease during the period is attributable to a 3.6% decrease in revenue in our APEI segment partially offset by 23% increase in revenue in our Hondros segment when compared to the prior year. In the first quarter our APEI segment revenue decreased to $65.7 million compared to $68.1 million in the prior year period. The decline in APEI segment revenue is primarily attributable to a decrease in net course registrations. Hondros segment revenue increased to $9.3 million in the first quarter compared to $7.6 million in the same period of 2017. The increase in Hondros segment revenue was primarily due to increased enrollments. On a consolidated basis, costs and expenses increased 2.1% to $68.8 million compared to $67.4 million in the prior year period. The increasing costs and expenses was primarily due to increased employee compensation costs in both our APEI segment and our Hondros segment including costs related to the voluntary reduction in force program or VRIF implemented during the three months ended March 31, 2018, an additional stock base compensation related to certain employees reaching retirement eligibility in our APEI segment. For the first quarter consolidated instructional costs and services expense or ICS as a percentage of revenue increased to 39.6% compared to 38.3% in the prior year period. Our ICS expenses for the three months ended March 31, 2018 were $29.7 million representing an increase of 2.5% from $29.0 million during the three months ended March 31, 2017. The increase in ICS is primarily due to an increase in employee compensation costs and our APEI segment and Hondros segment including costs related to the VRIF in our APEI segment partially offset by decreases in instructional materials expense in our APEI segment. Selling and promotional expense or S&PE as a percentage of revenue increased to 20.8% of revenue compared to 20.4% in the prior year period. Year-over-year, S&PE costs increased 0.9% to $15.6 million compared to $15.4 million in the prior year. The increase in S&PE was primarily a result of an increase in employee compensation costs related to the VRIF in our APEI segment partially offset by decreases in advertising costs and marketing support materials expense in our APEI segment. General and administrative expense or G&A as a percentage of revenue increased to 25.2% from 23.4% in the prior year period. Our G&A expenses increased 6.4% to $18.9 million compared to $17.8 million in the prior year period. The increase in G&A was primarily related to increases in employee compensation costs related to the VRIF and additional stock based compensation costs for retirement eligible employees in our APEI segment partially offset by decreases in bad debt expense in our APEI segment. Bad debt expense for the three months ended March 31, 2018 was $1.1 million or 1.5% of revenue compared to $1.4 million or 1.9% of revenue in the prior year period. The decrease in bad debt expense was primarily due to changes in student mix, prior changes in admission and verifications processes and changes in other processes. Depreciation and amortization was $4.5 million for the three months ended March 31, 2018 compared to $4.7 million in the prior year period. Our effective tax rate during the first quarter of 2018 was approximately 29%. In the first quarter of 2018, we reported income from operations before interest income and income taxes of $6.2 million or $8.3 million in the prior year period. In the first quarter of 2018 we reported net income of $4.6 million or $0.28 per diluted share compared to net income of $4.5 million or $0.28 per diluted share from prior year period. Adjusted net income and non-GAAP measure for the first quarter of 2018 was $5.9 million or $0.35 per diluted share, adjusted net income for the first quarter of 2018 excludes approximately $1.7 million in pretax expenses associated with the VRIF, as well as the applicable tax effect of the adjustment. The workforce reduction was substantially completed on April 1, 2018 and was not contemplated in our first quarter outlook. For additional information regarding adjusted net income, a non-GAAP measure, please refer to GAAP to adjusted net income reconciliation in the financial tables in the earnings release we issued earlier today. Total cash and cash equivalents as of March 31, 2018 were approximately $186.2 million compared to $179.2 million as of December 31, 2017. Capital expenditures were approximately $1.4 million for the three months ended March 31, 2018 compared to $1.7 million in the prior year period. For the three months ended March 31, 2018 the company made no estimated tax payments compared to $6.1 million in aggregate estimated tax payment during the three months ended March 31, 2017. The company expects to make estimated tax payments in the aggregate amount of $5.5 million during the second quarter of 2018 related to tax extensions and first quarter estimates. In connection with the voluntary reduction in force, the company expects to pay $1.7 million in employee severance cost during the second quarter of 2018. Effective January 1, we adopted FASB accounting standards codification or ASC 606 revenue from contracts with customers using the modified retrospective approach. Adjustments to our financial statements resulting from the adoption of ASC 606 were not material and are described more fully in our quarterly report on Form 10-Q filed earlier today with the SEC. Going on to Slide 4 second quarter outlook. Our outlook for the second quarter of 2018 is as follows; if you expect course registrations by new students are expected to decrease between 8% and 3% year-over-year. The change in total net course registrations is expected to be approximately flat year-over-year. For the spring term which is the three months ending June 30, 2018 new student enrollment at Hondros increased 5% and total student enrollment increased 17% year-over-year. For the second quarter of 2018, we expect consolidated revenue to increase between 0% and 2% year-over-year. Net income for the second quarter of 2018 is expected to be in the range of $0.29 to $0.34 per fully diluted share. In closing, we're encouraged by the stabilization of total net course registrations at APUS. Furthermore, I am pleased by our emphasis on cost control as we take appropriate steps to stabilize APUS net and total student registrations while maintaining our focus on quality and affordability. Congress continues to show growth and margin improvement. Its plans to expand strategic relationships and the opening of a new campus location in late 2019 should help facilitate mission and address the critical nursing shortage in Ohio. We believe these efforts combined with existing and future workforce focused initiatives will enable us to reach our long-term goals. Now we’d like to take questions from the audience. Operator, please open the line for questions.
Operator: [Operator Instructions] And our first question comes from Peter Appert with Piper Jaffray. Your line is open. Please go ahead.
Peter Appert: So Wally, you mentioned TA hurt by the government shutdown seeing some strengthening recently. Can you talk about the trend in that business, the base access issue if that’s been resolved and whether you think the TA business gets back to positive territory over the course of the year?
Wallace Boston: I think we’re optimistic short of another government shutdown that the TA business will get back to normal. I think the bigger impact for the first quarter was the few days shutdown, but at the same time there have been some systems glitches with the Air Force and the base access issue has not yet been resolved. We were hoping to positively hear resolution sometime in the near future, but we just can't predict that.
Peter Appert: The negative 2 to positive 2 in 2Q registrations, I think the way [indiscernible] that would require some pretty dramatic improvement in persistence. Is there something that's informing that forecast that would give you confidence if the numbers can move that meaningfully?
Wallace Boston: Well April is done and we are very close to finalizing May registrations and so we look at our – we do monthly starts. So it's simply taking one month that’s actual one month that’s close and forecasting what June is going to look like, but essentially we have continued to improve our first course completion rates for FSA students that was our bellwether indicator for whether or not the students were coming through the pipeline were legitimate students or were students who had intentions to complete at least from an academic perspective complete the course and hopefully move forward program in their programs that continues to increase and that's really the big driver here.
Peter Appert: And then for Rick, you mentioned other 1.7 million in severance cost in 2Q is that the end of the severance cost, number one. And then number two, can you give us any estimate in terms of the annualized cost savings you expect from this?
Richard Sunderland: So let me be clear when I made the reference to the second quarter. I was making reference to the cash that we’re going to be paying that. The VRIF was completed substantially completed on April 1, and so the cost associated with that is recognized in the first quarter. In terms of the expected savings that's in the 10-Q and I'm looking for the number, I believe it was 1.7 - Chris do you have the number?
Chris Symanoskie: 1.7 to 2.4 range.
Richard Sunderland: 2.4, yes, and I can find that in the 10-Q and tell you that number. I have the number so the savings would be – no, I don’t have it sorry go ahead.
Peter Appert: Okay, I’ll find it. For Hondros the additional campus you would open that would be in Ohio would be the expectation?
Wallace Boston: Actually that's not our expectation we haven’t announced where it is but we have researched and actually in one case supplied - formally applied. So we are not allowed to get approval for - until we’ve moved over to our new accrediting body and taken off of provisional status with the Department of Education. So once we get that status and can formalize it, we’ll make our announcement.
Richard Sunderland: So the savings is on Page 21, it's 1.7 to 2.1 for this year and the annualized is 2.1 to 2.8.
Peter Appert: And then Wally continuing on Hondros you had some really good momentum in that business obviously. How aggressively do you want to pursue expansion once you have the capability with the creditors to step up the pace of campus openings?
Wallace Boston: Well I think aggressive is probably a tough word to pursue, I mean as much is it’s been a nice turnaround in our investment. The nursing business is highly regulated, you have both the NCLEX pass rate that you're monitored on and regulated state-by-state, as well as your placement rate that you regulated on - in most of the states, as well as your accrediting body. So pushing for aggressive campus additions while you have to make sure that you're admitting the right quality student who can both pass the NCLEX, and then be placed generally within 60 to 90 days after passing the NCLEX. While I would like to say that we’ll do that, we need to maintain our quality. So if I were saying an aggressive year would probably be organically adding two locations.
Peter Appert: And then lastly Wally any new or incremental thoughts in terms of priorities for the allocation of your cash balances which continue to expand?
Wallace Boston: We continue to look for opportunities for that Peter.
Peter Appert: And I assume that’s mainly in the M&A arena?
Wallace Boston: Yes.
Peter Appert: And anything you’d call out in terms of areas of focus or areas of particular interest?
Wallace Boston: I think we’ve stated our interest in healthcare and at the same time we’re much more interested in nursing then we are in some of the other ancillary areas of healthcare that have tough times with gainful employment. The final gainful employment regulations haven’t been issued so we’ll take a look at that and see if that might change our perspective, but at least at this point in time its healthcare with the nursing emphasis. And I think we scaled so nicely in APUS there is no real reason to try find another online provider.
Operator: Our next question comes from Alex Parrish with Barrington Research. Your line is open. Go ahead please.
Chris Howe: This is Chris Howe sitting in for Alex Parrish. I had a question surrounding FSA and I didn't hear you mention it, but what was the returning student numbers for FSA. And kind of reflecting back on the last call, do you expect the trend to continue to slow and at what point would you say you would get close to breakeven?
Wallace Boston: So we said that our new FSA students were down 23.6% in the first quarter, the returning FSA students were only down 6% in the first quarter. I think the difference between that new and returning numbers shows that the change in our mix has paid off because even though the new FSA numbers are still declining in double digits, we’ve got a single digit decline in returning FSA students. I don't believe we gave you a specific time for transitioning for FSA students specifically, but as you can see with our guidance for the second quarter overall, the impact to returning students from FSA is quite diminished. And we do believe that over time it will balance itself out.
Operator: Our next question comes from Jeff Silber with BMO Capital Markets. Your line is open.
Henry Chien: It’s Henry Chien calling in for Jeff. A question on the VA payer growth, just curious what's driving that growth and is that eventually could look like you could at least offset some of the weakness in TA?
Wallace Boston: Well we hope that the weakness in TA is not permanent, but TA we continue to have a great brand with AMU, a great reputation, reputation is pretty important in the military market, meeting the needs of our students being military friendly in terms of recognizing their training for academic credit. Having degrees that matchup for both their career in the military and their career post military. And while we love our VA students, they actually generally don't persist with us to a degree unless they let their active-duty lives close to a degree, because Congress has deemed that if you're attending 100% online institution you only get 50% of the housing allowance. So I'm grateful that that the number up 23% for the quarter, but at the same time we always know that we have a quicker drop off in the lifetime number of courses for VA student route versus a TA students because of that housing allowance anomaly.
Henry Chien: And on the Hondros side for the expansion of the new campus, what are the key regulatory I guess milestones that you have to pass, I know you mentioned the accreditation it has to finalized and then what are sort of the next steps be on that?
Wallace Boston: So well first of all - you have to go to the state that you're applying for new campus and our last one that we added Toledo was in Ohio where we really are. I stated that we’re looking at two other states and we have a formal application in it one of them and our approval is subject to approval of both the U.S. Department of Education and our accrediting body. And until either the issue with our ACICS accrediting body is lifted and lifted by the Department of Education and while they said that they reinstated them, they have not lifted the provisional participation agreements that every ACICS school had until that’s lifted you can't add degrees, you can’t add campuses and until we get a new accrediting agency we can't lift the PPIF either. So once that is lifted we will be able to make our application first with the accrediting body. The last entity you get your approval from is the U.S. Department of Education.
Henry Chien: And in terms of the actual campus itself will this be like a Greenfield campus that is newly constructed?
Wallace Boston: We typically lease space from our owner’s of office parks. So but it will be a brand-new campus I mean for us, but it may be in a building that is not brand new but has a special-purpose location or florist for our nursing school.
Henry Chien: And any idea on what the size of this new campus might be?
Wallace Boston: Let's see, I think with our Toledo location it's approximately 20,000 square feet. So I’d assume it will be similar size.
Henry Chien: Similar size, okay, got it, okay great. Thanks so much.
Operator: [Operator Instructions] And at this time I am showing no further questions. I would like to turn the call back over Mr. Symanoskie for closing remarks.
Chris Symanoskie: Thank you. That will conclude our call for today. We wish to thank you for listening and for your interest in American Public Education. Have a great evening.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program you may now disconnect. Everyone have a wonderful day.